Melissa Vergel de Dios: For today's presentation, we have with us our Chairman, Manuel Pangilinan; Mr. Al Panlilio, our President and CEO; Ms. Anabelle Chua, Chief Finance Officer and Chief Risk Officer; Mr. Shailesh Baidwan, President of Voyager Innovations and PayMaya Philippines; as well as other members of the PLDT management team. At this point, let me turn the floor over to Mr. Panlilio to begin the presentation.
Alfredo Panlilio: Melissa, thank you very much, and good afternoon to all, and thank you for joining us in this call. I'll be reporting some highlights of our Q3 and 9-month performance. Then I will pass it on to Anabelle for a more detailed discussion on the financials, then we go to SB for PayMaya and PayMaya and Maya Bank.  So happy to report for Q3 2021 performance for PLDT-Smart, we end the quarter at PHP7.9 billion. This is the highest quarter this year. And after PHP7.5 billion in first quarter, PHP7.7 billion in the second, and the third quarter, PHP7.9 billion, that's PHP786 million income growth, in percent terms 11%. Also happy to report that our net service revenue for the third quarter is also all-time high at PHP46 billion. This is PHP2.3 billion higher than the same period last year of 5%, expenses at PHP21.5 billion, up 3% or PHP0.5 million. And our adjusted EBITDA is also an all-time high for the quarter of PHP24.5 billion. A PHP1.7 billion higher than same period last year or 8%. This is still a 51% margin.  Next page, please. For the month end September, September YTD, we're ending the first 9 months at PHP23.1 billion in Telco Core income, which is a PHP2.1 billion income growth compared to previous year or 10%. Service revenues after 9 months, PHP135.9 billion, also an all-time high on net service revenue. Expenses of PHP64.8 billion, and adjusted EBITDA of PHP71.5 billion, an 8% increase or PHP5.1 billion compared to last year.  So I just wanted to highlight some of the key levers that we look at to start with. This just shows the strengthening of our position in the following -- these units for whole. Definitely a very good year for Home after 9 months a revenue increase of 25%, and that's all PLDT-Fixed business, but if you drill down just on revenue of fiber, that is a 17% increase year-on-year for fiber-only revenue.  September installs ended at record high of 114,000. If you recall, sometime January 2020, I think it was only about 33,000. So we've ramped up installation for sure and happy to report also for October, we've also exceeded this number. We get a little over 120,000 for October. So we continue to drive and serve the underserved market. By the end of September, we have about 800,000 new fiber customers. So we are on track of at least 1 million by the end of the year -- new fiber subscribers within the year.  For wireless, a lot of headwinds in wireless this year, especially with all the lockdown, people losing their jobs and with no mobility for our customers and really customer sharing the fixed line connectivity at home. Having said that, we will see modest growth for wireless this year. 80% of the revenue is coming from data. We've grown our 5G traffic by 20x since quarter 4, 2020. And also, we've reached the 1 million subscriber base for fixed wireless in the month of September. Enterprise also shows good progress starting in the third quarter of this year, PHP10.7 billion being the highest ever quarter for enterprise, driven by ICT business, obviously, cloud and colocation revenues from data centers at all-time also, increasing by 26%.  Next page. So that is our integrated telco business. We continue to drive CX by improving our network. So we have the Philippine's fastest and more extensive fixed network. We are now at 615,000 kilometers of fiber, a 17% increase from June. So the most extent -- expansive for sure in the country. Homes passed now is at 12.7 million year-to-date, which is an increase of 41% versus last year. 12.7 million in percent is about 50% of total households in the Philippines and so there's a lot of opportunity of growth there in the Home business.  Fiber ports, out of the 12.7 million, we have 5.29 million fiber ports that is available for our customers, which is 30% increase. And for mobile, we continue to strengthen the mobile business. So we are now at 6,400 in terms of live 5G base stations, a 96% LTE network coverage, 72,000 total base stations, and we continue to progress our roaming arrangements, hoping that travel will happen soon. So again, in both areas, fastest fixed network as reported by Ookla and also the most reliable 5G network as far as Ookla is concerned and the only Filipino telco in Global Leaders for 5G Experience as far as [indiscernible] is concerned. So that's the integrated telco initiatives that we have.  Next page, please. Again, together with integrated telco, we continue to expand the PLDT ecosystem, making sure to be able to build the digital ecosystem to secure our future growth. On the left side is GIGA Life which is our digital platform for our wireless customers. Eventually, this will be a platform also for Home. Today, we have 10 million registered users for GIGA Life and an active base of 6.25 million multi-active users. PayMaya, I think, SB will obviously talk about this more, but really driving broader financial inclusion, which we can really seamlessly integrate the PLDT-Smart business with PayMaya and Voyager and -- I mean the -- having got them the Digital Bank License is a very critical part of that journey towards the financial inclusion.  From a people and culture point of view, our most valued assets, of course, our people just wanted to report that 95% of our PLDT and Smart workforce nationwide are fully-vaccinated, and we started vaccination also for dependents and household members as we speak. So I think I'll move on now to -- I will move the mic, the screen to Anabelle.
Anabelle Chua: Thank you. Thank you, Al. Good afternoon, everyone, and welcome to our 9-month results presentation. As Al has indicated, total service revenues for the 9-month period came in at PHP135.9 billion, a 7% up year-on-year. How it breaks down, about PHP65 billion from the Individual, PHP35 billion from Home and another PHP35 billion from the Enterprise and International combined. In terms of the growth versus last year, there's a PHP9 billion increase led by Home, which accounted for PHP7 billion out of the PHP9 billion uplift that we saw in the first 9 months. And as Al has mentioned, if we zero in on the fiber-only subcomponent of the home business that's actually growing at a much higher clip, 78% year-on-year registering PHP10 billion increase for the period. Together with the PHP7 billion decrease from Home, we saw another PHP2 billion increase from our Individual business, which is up 3% year-on-year and then PHP600 million from our Enterprise business, which is a 2% year-on-year growth.  Next chart, please. Over the 3 quarters of 2021, the increase in the third quarter revenues to PHP46 billion from PHP45 billion in the second quarter and PHP44.8 billion in the first quarter. Compared to the same period last year, it's a 5% growth equivalent to PHP2.3 billion. Again, [indiscernible] Home, which is showing a very impressive 29% increase in the third quarter compared to the same time last year. Enterprise is also showing 2% growth now and reaching a record high of PHP10.7 billion during the quarter. There's more pressure in our Individual business, given the lack of mobility during the pandemic period and the knock-on effect it has had on people's consumer wallets as well as the increased competition that we're starting to see in the market. But although the group was able to hit an all-time high of PHP46 billion for the period third quarter this year.  Next chart, and showing the numbers over a longer trajectory. As I said, PHP46 billion is our all-time high and the PHP12.6 billion for home and PHP10.7 billion for Enterprise is also an all-time high versus our revenue performance for year.  Next chart, please. When you break it down between data and nondata revenues, our data revenues are growing at 14% year-on-year, and account for 76% of the 9-month service revenues. For the quarter, it's already 77% of total revenues.  Next chart. Making up our PHP104 billion of data revenues, the right-hand side of this chart, you see that mobile data is about half of that number, growing at 9% year-on-year; home broadband, PHP31.5 billion, 32% up year-on-year; and then, corporate data and ICT are about PHP20 billion, improving by 4% and 11% respectively.  Next chart. Looking at the full P&L for the 9-month period, we have seen EBITDA increase at PHP71.1 billion and achieving an EBITDA margin of 51% for the 9-month period. That's 8% increase equivalent at PHP5 billion compared to the same period last year. Depreciation and amortization as well as financing costs have also been a bit higher compared to prior periods given our investments in our CapEx for the network and other items. So Telco Core income at PHP23.1 billion, 10% or PHP2.1 billion over the PHP21 billion that we reported for last year. There is also the benefit of the lower income tax rates as a result of the [indiscernible].  Again, showing it over the 3 quarters of the year, just to take note that we've been able to manage our cash OpEx to a relatively flat number over the 3 quarters of this period, such that EBITDA during the third quarter benefited from the higher income number. So we had PHP24.5 billion EBITDA outcome for the third quarter, which, again, represents also an all-time high for us. And the Telco Core income, as noted, we've been able to see improvements over the quarters of PHP7.5 billion; PHP7.7 billion; and PHP7.9 billion in the third quarter.  Next chart. Looking at our total subscriber customer base for the group, we have a total customer count of 77.8 million across our mobile, broadband and fixed line voice businesses. Just to highlight for our broadband customers, there are almost 3.8 million broadband customers. Fixed wireless of about 1 million and 2.8 million on the fixed side. Fiber, as you can see here, increased 800,000 for the 9-month period since the start of year. I'll show the details for that tick up in the broadband customers. Next chart, please. So just to highlight, first on the right-hand side, in terms of how many new connects we're doing on an average basis, as Al has indicated, we've hit the record high of 114,000 for the third quarter on monthly average. This is compared to about 77,000 in the first quarter average per month, 87,000 in the second quarter. Now, we've hit a new record at 114,000, but we're also pleased to note that, in the month of October, we've been able to break that record again and has come in at about 120,000 new connects for the month of October alone. So taken together with the churn that we saw during the period, the net adds for our fiber customer base was 800,000 in the 9-month period and 324,000 from the third quarter alone. So we are in good shape to exceed the target that we set for ourselves to have 1 million net new customers for our fiber business. So that's likely to be exceeded given we're already at 800,000 or -- as of September. Next chart, please. Just some highlights on the various business segments, starting with the Individual wireless business. Of course, facing some headwinds because of the challenging conditions as a result of the limited mobility from the pandemic lockdowns, which has confined people largely to home and less need for the mobile service. The knock-on effect of also the lockdown situation has been tighter consumer wallets due to job losses. And obviously, there's been also more active competition from Globe and Dito's [indiscernible]. But happy to note that our data usage continues to grow. You have 40 million data users as of the end of September, averaging 7.9 GB per month. Data traffic numbers continue to be on the rise. The 9-month data traffic is up about 16% year-on-year. That's driven by both the strong adoption of LTE as well as the early adoption of 5G by the customer base. And then happy to also note that the early statistics from the Mobile Number Portability has shown Smart enjoying a net gain from the MNP albeit at the relatively low numbers to... Next, in terms of the Home business, as we noted, upward momentum in our installs has accelerated our revenue growth, and we have clearly been able to show a leading performance in the market. The third quarter revenues for Home business is at PHP12.6 billion all-time high of which PHP9 billion is the fiber revenue contribution, and you can contrast that to how hard it was about at the start of first quarter 2020, that was only PHP3.8 billion, so almost 3x from that start point. We continue to build out also our ports. We have built 1.2 million new ports for the 9-month period.  So we are well on our way to achieve or, in fact, exceed the 1.7 million new port build-out that we anticipated for this year. We've been asked what we expect if the lockdowns ease and people start to go out? We do anticipate the demand for Home broadband will remain quite strong. So there will be still hybrid work and understudy arrangements, if the lives of people have to change forever and consumer behaviors will be shaped, so a lot of dependency is still on Home broadband as a service to keep people connected and entertained while studying or working.  Moving on to our Enterprise business. Again, happy to note that Enterprise has shown good growth momentum, notwithstanding challenges also from some of their customers being affected by the pandemic situation. So there are opportunities for us, a few wins that we've seen with the SD-WAN service for some of our banking and other corporate clients. Wins with the government, the largest is the DepEd win where we are servicing the wireless load departments of teachers, supported by the Department of Education. We are very positive about the opportunities the 5G, IoT and especially the hyperscaler data center business could provide going forward.  We have already started the planning for 11th data center, which will have a capacity that will actually equal after it can be in excess of the combined capacity for 10 existing data centers. We would have to work with government and other stakeholders to position the Philippines as the next Asia Pacific hyperscaler hub as part of the [indiscernible] business. There are other digital transformation opportunities for our Enterprise group as they look into more solutions and other professional services that could be sold to the clients.  Next chart. [Technical Difficulty] 9-month period, and we've been able to keep it relatively flat at about PHP1.4 billion, PHP1.5 billion per quarter revenues for the International side. And moving on. As to recap, our increase of revenues by PHP9 billion has been translating to about PHP5 billion EBITDA growth. We also have lower provisions this year, but of course, there are some higher cash, CapEx and subsidies that we have incurred during the period. As noted, also earlier, depreciation and financing costs have risen as a function of the CapEx investments that we've made behind the network. But helping us through this period is the lower income tax rate thus enacted through the CREATE tax law. Moving on, so on an EBITDA basis, just to also highlight, we've seen 5 consecutive quarters of EBITDA growth. So we've hit PHP24.5 billion for the third quarter. This is an all-time high in terms of an EBITDA margin of 52%.  Next chart for core income. Telco Core income, next chart. From an average of about PHP7 billion last year, our average for this year is PHP7.7 billion, up from PHP7.5 billion, PHP7.7 billion to PHP7.9 billion in the third quarter alone. So, a 10% increase, and we are well on track to hit our 2021 full year guidance of PHP30 billion Telco Core income. Next chart. Just to see some of the other items that impact our P&L. If we include the results of Voyager, we do have some gain under innovations. So there's still a 14% increase in the Core income to add Voyager. Now for the reported income, some movements, the largest one would be the swing of the FX rates from a situation for the peso appreciated last year to 1%, but it has depreciated this year. So there are reval gains last year versus reval losses this year. So that's a PHP3.3 billion swing year-on-year, so which when we take into account with the other numbers, cause our reported income to be a bit lower at 4% compared to where it was last year.  Next, please. Just to highlight on the balance sheet side, our net debt is about $4.5 billion during month end September. Maturities are still pretty well spread up, 2/3 of the debt maturity beyond 2025, average duration of the debt is about 7.25 years. Average cost of debt has been managed down to 4.37% overall. Net debt-to-EBITDA ratio stood at 2.4x, a little higher because of the cash outflows with respect to CapEx and other investment requirements. Although, of course, we have seen EBITDA increase as well.  Next chart. So going to the CapEx number, the CapEx for the 9-month period ended at PHP63 billion. Our guidance for the year is PHP88 billion to PHP92 billion. At this point, we think that the CapEx will come in more towards the low end of that number, at around PHP88 billion for the year. Within the PHP63 billion that we spent, PHP47 billion for network and IT and then there's a good PHP12.8 billion that supports the business growth behind the higher installation numbers that we've seen for our Home and Broadband connection. So that number increases the result of the higher install numbers that we saw in the first 9 months.  Also other highlights in terms of the growth in the data traffic that we support. There's been about 12% increase in wireless traffic, 62% increase actually. For fixed traffic such as this is about 54 terabytes per day for the traffic that we carry to our fixed network and another 11 terabytes for mobile network. We continue to invest also behind expanding our cable capacity both for domestic and international. For international, in particular, we expect the Jupiter Cable Systems to come on stream in the first quarter of next year, and that will significantly increase our capacity to carry international data traffic.  Next chart, please. Just some highlights on the network side to show where the CapEx spend has gone. In terms of our fixed line side, we pass 12.7 million homes, which as you can appreciate, is more than 50% now of the total households in the Philippines. So we have potential to connect to as many as 12.7 million homes. As of the moment, we have active ports of 5.3 million available, both installed and for sale, and that is as a result of the build-out of 1.23 million ports that we've done so far this year. And as I indicated, we expect to increase that by another 500,000 by year-end.  Fiber footprint, by far, the largest and most extensive in the country compared to any of our competitors, 650,000 cable kilometers that we've laid, and that's a 43% increase from where we were at the start of the year. On the wireless side, total base station count of 72,600. We cover 96% of the country on 2G, 3G and 4G. And then we have the beginnings of our 5G rollout with 6,400 base stations now equipped with 5G. In terms of how the usage is spread out, largely, the LTE market still at 80%. Although I would say that's still good increases compared to prior periods. 80% 4G; less than 20% for 2G, 3G; and then 5G is emerging part of the market now still at about 1% of the total base.  Next chart, of course, coming from a relatively low base, we now see 5G active devices of about 760,000 per month. It will clearly still grow as handsets become more affordable. Data traffic has practically doubled just for 1 quarter alone. In terms of how the network is performing, we have -- are pleased to note that Ookla has indicated that the speed for 5G and Smart is about practically twice the speed that you will experience on Globe. Other recognition of the quality of our 5G network is top line here. Next chart. So just some more metrics from the network performance side. For the average mobile download speed, we continue to lead the market with average speed, in the month of September, of 51 Mbps. Clearly much above the 35 Mbps average for the market. The blue line shows the performance as measured by Ookla for Globe, the red line for Dito.  Next chart would be the fixed average download speed. Again, PLDT, by far the fastest in this country at 92 Mbps. And that's also, again, much higher than the roughly 72 Mbps that is registered for the country and you see here the download speeds for Converge, SKY Cable and Globe versus our download speeds.  Next chart. So just to highlight, for mobile, we are 1.8x faster than the nearest competitor with increase from April to October by 16 Mbps versus Globe which was increased by 7 Mbps and then Dito by about 2 Mbps.  Next. Just to also showcase the awards we have received from OpenSignal, which tries to measure all of us on 6 metrics: download speed, upload speed, 4G coverage, video experience, voice-app experience, games experience. And Smart is clear winner across all 6 categories.  Just to round up my presentation, just talk about Cignal, which is our PayTV affiliate. It has 3.77 million subscribers as of the end of September, it's higher by about 1 million year-on-year, largely because of the shutdown of one of our major competitors. 3.4 million of these are prepaid and about 40,000 are postpaid customers. By way of key financial metrics, service revenues of about -- total revenues about PHP7.5 billion, that's up 26%. Service revenues PHP6.6 billion, 35% higher. EBITDA of almost PHP2 billion for the 9-month period. And Core income of close to PHP800 million, compared -- again, showing good improvements over prior year.  At this stage, we turn things over to SB or Shailesh for the PayMaya digital bank discussion.
Shailesh Baidwan: Thank you, Anabelle. If we can go to the first slide, please. So just to remind everyone, at PayMaya, we are a digital financial ecosystem, where we serve consumers, we serve enterprises, and we serve communities across our the 3 businesses in PayMaya. Whether you're a first-time account holder or whether you're someone who wants a payment convenience of doing this digitally, we have our consumer business or our PayMaya digital wallet. Whether you're a MSME, who's looking to sell goods out of their house or whether you're a large enterprise who needs an omnichannel payment acceptance solution or you're a government, we provide that through our merchant acquiring business. And if you're not quite ready for your own digital journey as yet, but you still need to do bills payments, and money, top up your airtime, you can go to our on-ground network on Smart Padala and do that.  So we are able to move people seamlessly between online and face-to-face. We are able to move, unite the consumer and the enterprise part of the business in a unique way, which creates value propositions and a dataset that is very rich and unique to us. And now we've got the Maya Bank license given to us by BSP. Some key metrics of our performance through the course of 2020, 3 quarters. Our number of registered customers across our consumer, both on the wallet side and our on-ground network is now at 41 million, which is a 2.7x growth over where we were at the start of 2020. When we look at our 3 businesses, and we add that up, the gross transaction value will grow by over 50% through the course of 2021 versus last year.  And when we look at our enterprise business, where we are processing payments, providing merchant acceptance solutions, we are the #1 in every day category across whether you think of pharmacy, whether you think of gas, whether you think of online. And we continue to add the number of digital touch points in the country to enable them for digital payments and processing. And today, we have over 380,000 of those.  Can we go to the next slide, please. So just on the wallet side, the PayMaya wallet makes it extremely easy and convenient, whether you're a first time ever user of financial services to download eKYC and set up your wallet all in the span of seconds. And with that, you can then put in cash easily into the wallet so that you can start using it. So we have created the largest touch point of over 90,000 locations where you can add cash to your wallet. A number of those are accessible to you at free-of-cost to make it extremely convenient. And then, of course, you want to use your wallet for sending money but also for paying your bills, buying goods and services and by making sure that we make those available in the wallet with one of the most extensive set of billers, digital items to purchase or goods to buy within the app itself.  On the next slide, please. On the enterprise side of the business, this is where the enterprise is our client. We want to make sure that we are able to provide them a one-stop shop, whether you're online, whether you're a face-to-face or omnichannel. We process Visa, MasterCard, JCB, BancNet, QR, all kinds of transactions, whether it's the government or whether it's a micro-merchant or whether it's a very large enterprise. We've seen massive growth in this business. The number of mergers that we have enabled with points of acceptance has grown by 220% year-on-year. In fact, as part of our expansion and embracing the common QR standard in the Philippines, 160,000 of our merchant locations are now enabled to accept QR Ph. We continue to grow this business with transactions growing at over 100%, and we are pretty much today the de facto provider of payment solutions for government; for, like I said, everyday categories across pharmacy, gas, fast food, QSRs and the likes of that.  Our third key business, if you go to the next slide, please, is on Smart Padala, our on-ground network. This has expanded rapidly from about 30,000 that we had as of last year to 60,000. This network now covers pretty much the length and breadth of the Philippines. People can walk in customers, walk in over there to send money, buy a time load, pay their bills and the like. And we're expanding that now with this network being able to receive your international remittances directly from Western Union, and we also started our first loan product of lending, providing short-term working capital to this base through the course of 2021.  If you go to the next slide, please. So that's our core business. And what we absolutely know is that people look at our digital solutions to the other payment side as convenient, as accessible, as something that they can reach out to and use for their everyday transactions. Now we have got the BSP license as the 6th awardee of the digital bank license. Maya Bank now brings the credibility of being a bank to our payment network. And between the 2 of them, we create an absolutely compelling and unbeatable value proposition. We have the customer base, as I mentioned to you, 41 million across PayMaya, we have 1.2 million MSMEs that we can tap into. And when we marry that with the data that we already have today of customers and enterprises and bring with that the ability to create a digital customer interface that will be seamless and create new products that are relevant across lending and deposit taking.  And as Al mentioned earlier, our ability to talk -- tap into the MVP network, Smart, PLDT to be able to provide lending products, deposit products is something that gives us an access to an even larger base for us to grow out this unique combination and unbeatable combination of PayMaya plus Maya Bank.  That is the update that I had. Over to you, Mr. Chairman.
Manuel Pangilinan: Okay. Thank you, SB. I guess my job is to provide an outlook for the full year 2021 dealing with Core profitability first. I think Anabelle has indicated that we affirm our profit guidance, PHP30 billion for the full year 2021. And so we affirm that for the purpose of this meeting. In terms of EBITDA, we expect to land for the full year at around PHP96 billion [indiscernible] last year. So growth above 10% thereabouts. CapEx, as Anabelle indicated, we will land around PHP88 billion at the lower end of the guidance that we gave when we announced our first half results. And dividends maintained at 60% of core with a look-back situation depending on the cash flows achievement, of course, our profitability for the full year.  So okay. Let me -- one last comment on the share price of PLDT because, of course, in recent months, we've seen the upward trend in terms of the share price. We just would like to comment on whether, in fact, the fact that we consider PLDT to be undervalued because just to reference our market value to Convergence market value, which is I think in recent weeks have settled around PHP235 billion and ours at around PHP350 billion, PHP355 billion. So the difference in market value of Converge to PLDT on its own is about PHP120 billion because assuming the value of Home broadband at the level of Converge, which we think itself undervalues the Home broadband business. Because we are in some spaces, at least 50% ahead. And in revenue share, almost twice, the size of our revenues purely on fixed home broadband in relation to Converge.  So -- and I think we saw good growth, I think better growth than Converge had shown in recent months, and I think that will continue for a number of years ahead of us. So the PHP120 billion differential prices our wireless business and our enterprise business at that level and a bit of the PHP5 billion or PHP6 billion of revenues of our international business. And we think that -- I think, PLDTs are deserving of that kind of evaluation for its wireless enterprise and its international business.  So we think, in terms of market prices, it should be corresponding, just and upwards. We are aware that GCash has been valued at around $2 billion. We, of course, don't know how much of that valuation is carried over to the share price. Of the full $2 billion, is it 35% of the $2 billion and so forth and so on. Now we are aware that PayMaya has quite a bit passing up in terms of valuation of GCash. But we think that in due course, it will catch up. So at the moment, a sense of the evaluation of PayMaya is around USD 1 billion because our last fundraising priced PayMaya business -- when was it, earlier this year -- at around $747 million. So things have changed, have moved up, also the soft space, gross transaction value and now the digital banking license being approved for PayMaya. So we think this is long area and hopefully it will grow faster next year.  So let's just start with questions. Thank you.
A - Melissa Vergel de Dios: We're now ready to take your questions. [Operator Instructions]. The first one we received is from Arthur Pineda of Citibank. Can you please provide any color on how mobile revenues have trended on a monthly basis in July, August and September? And are we seeing any improvement into October with the lifting of the ECQ?
Alfredo Panlilio: Go ahead.
Manuel Pangilinan: Yes. Actually, for the past 3 days, we're see a little uplift on the top-up side. So I suppose the increased mobility has actually has some effect already on the top ups. Although it's not yet as high as we think as we wanted, but they are increasing. So our -- I guess what we want -- what we think is, as the economy opens up, we will slowly see any increase in mobility and we'll see further increases in the top-ups. We are also seeing some uplift in the postpaid activations as well. So as, I guess, the malls are opening, the more people are visiting the malls. We're seeing more and more people go into the stores to get their postpaid lines.
Melissa Vergel de Dios: Great. The next question is on Maya Bank. Are there any targets on the digital bank front that can be disclosed?
Shailesh Baidwan: We definitely want to first work towards launching it in record times. So we're looking at early part of next year to launch Maya Bank. Although the BSP gives us a year from giving us the license, but we want to get there fast. We would ideally at least be looking at 1 million customers that we will be providing deposit services to, 1 million customers that we were providing loan services to. And then from there, we continue to build out with access to the existing set of customers on MSME and retail consumer side that we have and, of course, across the MVP PLDT ecosystem.
Melissa Vergel de Dios: Related question of PayMaya from German de la Paz, Abacus Securities. What is the dollar amount -- sorry, what is the dollar amount of expected GTV for PayMaya in 2020?
Shailesh Baidwan: We won't share that number just ahead. We are looking at still growing the business, launching a number of new services. So we're talking about growth, like we said this year. And our GTV's very different. If you look at the merchant acquiring business, as you can imagine, the GTV of that is very different from a GTV of a wallet is a very different from a GTV that will be there from a banking customer. So we're looking at a growth of ending this year at 50% over last year, and we want to pass on that trajectory even further and potentially look at doubling our growth through the course of 2022 over 2021.
Melissa Vergel de Dios: Again, from German de la Paz. Just to clarify, PayMaya evaluation from last funding round was $747 million, when was this?
Shailesh Baidwan: When we raised the last within investors was in June this year. So this was the most money valuation.
Melissa Vergel de Dios: And lastly, may I ask for PLDT's stake in PayMaya?
Shailesh Baidwan: Sorry?
Melissa Vergel de Dios: What is the stake of PLDT in PayMaya?
Shailesh Baidwan: 38.5%.
Melissa Vergel de Dios: There's a question. Is the group looking at Starlink or low satellite as an option to enhance data network or will you focus on using traditional towers in these stations?
Alfredo Panlilio: Yes. We also that is satellite, but we will be using more of the traditional at the moment. But there are certain opportunities where this satellite and where revenue is in discussion with them, as we speak.
Manuel Pangilinan: I just may add, I think we are working with various satellite companies since a number of years actually already. Starlink is just one option. They have a very specific solution, which enables existing phones to connect to satellites. So that could be very interesting in particular in areas where we do not have coverage, rural areas, islands and so on and so forth. So it will be a tool in our toolbox, but not necessarily carry a large part of our traffic.
Melissa Vergel de Dios: Your next question comes from Tekwani Morales of IGC Securities. Congratulations on the results. My questions relate to the broadband business and are as follows: Does the company of a target date to complete the migration from copper to fiber and with 100,000 plus new fiber connections per month be sustainable after completion of the migration?
Manuel Pangilinan: So the first question was around the target for the completion of the copper to fiber migration. We do anticipate the completion of copper or fiber migration to be in the first quarter of 2022. So we are on target for that plan. And in terms of do we see that demand will remain -- and the volume is over 100,000 a month to remain sustainable? Actually, our current volume that we saw in September of 114,000 were for new customers only that actually does not include any of the copper to fiber migration. If you look at copper to fiber migration, you would actually add another 23,000 on top of that, right? So we actually are seeing copper to fiber migration as separate capacity. And this capacity, once the copper to fiber migration program has been completed, in the first quarter of next year, we'll actually be using to be able to connect more new customers to our fiber network, right? So we do plan on actually using that additional capacity to be able to connect more new customers to our fiber network.
Melissa Vergel de Dios: Related question on Home broadband. How much larger can the Home broadband margin be?
Manuel Pangilinan: Look, I think if you have a look at fixed line and broadband penetration in the Philippines, the market for fixed line broadband penetration is still quite low. Depending on the number of subs count, if you look at, it's somewhere between 20% and 25%. If you look at other ASEAN markets, fixed broadband penetration is somewhere between 50% and 60%. I think the last time I checked, Vietnam was already sitting at about 60%, with other markets like Thailand is sitting at about 48%. So clearly, when just on a desktop exercise perspective, if you look at that, there is still significant amount of growth available for fixed broadband penetration in the Philippines.
Melissa Vergel de Dios: Next question is from MNP. Could you provide additional color on MNP?
Manuel Pangilinan: Yes, just on MNP, I think, we've got the initial numbers that there are more gross adds to Smart compared to Dito and in Globe but really, the numbers are still very small. Nothing to really talk about. I think the problem is I think it's scaling that switching program. I think it's been very difficult for customers to port out, port in to a new service. So I think regulators have to help here in terms of how we can make that process easier. But yes, it's early stages, but numbers are not huge at this point.
Melissa Vergel de Dios: Next question is from Ken Gotianse of ATRAM. Could you provide some color on the discussions of a possible sale and leaseback of your towers and how that will potentially affect your operations?
Manuel Pangilinan: Well, as you know, we're undergoing a process on the sale and leaseback. Obviously, that will cover us in terms of operations and maintenance that will definitely help us. And I think it's really the value of the towers that we will sell and have that money, I guess, given to PLDT, as we lease back almost at the same level of OpEx that we pay every year. But again, the advantage there as there are more locators in those towers, we also get a discount in our leasing arrangement. So OpEx, hopefully will go lower, but [indiscernible] we will get value for the towers that we will sell upfront.
Anabelle Chua: Let me add, we are also looking at the new build out for our towers to be through the tower cos as well. So we have an inactive engagement with some of the tower companies for the undertaking of the build-out for our -- new requirements for this year, next year. And when we look at it, there's, of course, the cash flow savings from the CapEx avoidance and the onset and even on an NPV basis to the life, there is something like 10% to 15% NPV savings for us, if we undertake the build-out or the new tower rollout through the tower company share arrangement versus building it out.
Melissa Vergel de Dios: The next question, what is your outlook for CapEx for next year?
Alfredo Panlilio: Well, we're still undergoing our budget process. We have not completed that yet. We should have those figures towards our December Board meeting as we present the budget to our Board, but we don't have an indication at this point.
Melissa Vergel de Dios: We have a question on our OpEx. Selling, general and administrative expenses rose by 15% year-on-year to PHP19.5 billion in the third quarter. May I ask the reason for this?
Anabelle Chua: There are many -- I guess, there are many contributors to that. Of course, part of it is in relation to the ramping up activities we have across the businesses. The other thing that, from an OpEx standpoint is higher than prior years has been also the cost of maintaining the networks, including the repair cost, just given a bigger spread in terms of our network footprint, but that is something that we will continue to manage.
Melissa Vergel de Dios: The next question is on the data center business. How big is the hyperscaler market? And when do you expect to see revenues from that?
Manuel Pangilinan: So we're still assessing the total addressable market for the Philippines, but basing it off on markets like Singapore, the hyperscaler markets -- at the data center market specific to Singapore is at about PHP1 billion annually growing at a double-digit clip year-on-year. We see that the potential of the Philippines could be -- that can potentially reach those levels in a couple of years. In terms of when we expect them to come in, they are coming in already. We're talking to a couple. And as part of our new data center, also, we have a goal of landing our first anchor tenant within 2022, in Singapore.
Melissa Vergel de Dios: There are no additional questions in the queue. [Operator Instructions]. Question on 5G. Could you explain your plans for 5G?
Alfredo Panlilio: Well, we're in the early stages of the 5G and also trying to be granular about where the users will be. So it will be a very targeted rollout of 5G for 2022, although we did have a big pickup. I mean, a big increase on 5G towers this year. We will be more granular next year matching that also with the demand and availability of handsets available in the market. So very granular on the [indiscernible].
Melissa Vergel de Dios: There are no further questions in the queue. Anybody else with questions. Otherwise, we turn the floor over to Mr. Pangilinan for his comments.
Manuel Pangilinan: Well, thank you for joining us for this afternoon's presentation for third quarter results. We look forward to seeing you again early next year for the full year results. We wish you a Merry Christmas. Happy Thanksgiving. Happy Diwali. It's happy or...?
Shailesh Baidwan: Happy Diwali.
Alfredo Panlilio: Thank you, everyone. Thank you.
Melissa Vergel de Dios: That concludes today's briefing. As always, should you have any further questions or clarifications, please reach out to PLDT Investor Relations at pldt_ir_center@pldt.com.ph. Thank you for your participation. Stay safe.